Operator: Good morning, ladies and gentlemen. Welcome to the Eldorado Gold Corporation's Second Quarter Financial and Operating Results Conference Call. Please be advised that this call is being recorded on Friday, July 29, 2011. This call is also being webcast and is available on the Eldorado Gold website at www.eldoradogold.com. I would now like to turn the meeting over to Ms. Nancy Woo. Please go ahead.
Nancy Woo: Thank you, operator. This presentation includes statements that may constitute forward-looking statements or information. Any forward-looking statements made and information provided reflect our current plans, estimates and views. Forward-looking statements are information which include all statements that are not historical facts, are based on certain material factors and assumptions and are subject to certain risks and uncertainties that could cause actual results to differ materially from those anticipated and/or suggested by the forward-looking statement or information. Consequently, undue reliance should not be placed on these forward-looking statements and information. The information contained in our annual information form and in our annual quarterly management's discussion and analysis available on our website and on SEDAR identifies factors and assumptions upon which the forward-looking statements or information are based on and the risks, uncertainties and other factors that could cause actual results to differ. All forward-looking statements and information made or provided during the presentation are expressly qualified in their entirety by this cautionary statement and the cautionary statement contained in our press release dated July 28, 2011. I will now turn the call over to Paul Wright, President and CEO of Eldorado Gold.
Paul Wright: Thank you, Nancy. And good morning, ladies and gentlemen. Welcome to the Eldorado Gold Corporation's Second quarter Financial and Operating Results Conference Call. Joining me this morning in Vancouver are Norm Pitcher, our Chief Operating Officer; Fabiana Chubbs, our Chief Financial Officer; and Nancy Woo, our Vice President of Investor Relations. We will follow the usual format, following a brief introduction. Myself, Norm and Fabiana will take you through the quarter's operating and financial results and provide some outlook commentary for the balance of the year. And then we'll open up for questions. I'm very pleased with the performance in the second quarter. Our 4 operating gold mines continued to perform at or better than planned in terms of both costs and production levels. With midyear production from these mines of 311,000 ounces at cash operating costs of $403 an ounce, we're slightly ahead of our plan of 297,000 ounces at $419 an ounce. Production commenced at Efemçukuru mine and where we envisage in our commercial production starting in the fourth quarter of this year. In the quarter, we also commissioned our expanded circuit at Kisladag and now are operating at the full 12.5 million tonnes a year run rate. Our Phase 4 expansion study for Kisladag is progressing well, and we expect to be releasing details of this study in the next couple of weeks. Just to give you some broad outline in terms of where the study and the result in expansion will take Kisladag, we're now looking at expanding crusher throughput to approximately 25 million tonnes per year. We are going to be working off the reserve base stated as of the beginning of this year, and in addition to crusher throughput at the level I've described, we will be adding a modest level of run-of-mine material. We will be preferentially pushing a higher grade material through the crushing circuit and lower grade material, as I said earlier, approximately 5 million tons a year will be going out as run-of-mine. Beyond that, you're going to have to wait until we get the study out in the next couple of weeks. We continue to make good progress with construction at Eastern Dragon and where we expect commercial production to begin in Q1 of 2012. On the development front, we are pleased with the progress being made in permitting at the Perama Hill Project in Greece, where the project now has been included in the fast-track process designed by the Greek government to expedite projects considered to be a strategic investment for the country. Our project is qualified, and our expectation is that as part of the process, we will receive joint ministerial accrual for the project in August and in the first quarter of 2012, be in receipt of the necessary licenses and permits, which will allow us to make a construction decision. In Brazil, the TZ Project activity continues on a number of fronts, exploration, feasibility, engineering and permitting. And we're all working here hard towards making a construction decision on this project in Q1 2012. Mainly due to the delayed start and construction of our concentrate treatment plant at Kisladag for the Efemçukuru concentrate and the uncertainty as a result of the quantity of concentrate that we will be able to produce or process by year end at this facility, we have elected to ratchet back slightly our production guidance for this year to 700,000 to 725,000 ounces at an average cash cost of $390 to $410 per ounce. The company remains financially strong, and this is reflected in our quarter-end cash balance, our continued accelerated prepayment of outstanding debt in China and our recently declared dividend of $0.06 a share based on our first 6 months of production. With that, I'll hand over to Norm for his comments.
Norm Pitcher: Thanks, Paul. Good morning, everyone. Let's start off in the operations. Kisladag first, which produced 66,688 ounces at $389 per ounce for the quarter, which was right on budget per ounces and a little bit high on costs. It's only about 3%. We're currently running at about 1.1 million tons per month on the leach pad, which reflects the successful commissioning of the Phase 3 upgrade. Solution flows are very good, and July looks to be a very strong month for us at Kisladag. On June 13, we announced the approval of the supplementary EIA for Kisladag, which allows us to produce the 12.5 million tonne per annum rate and also allows construction of the Efemçukuru concentrate plant. In At Jinfeng we produced 46,350 ounces at a cash cost of $401 per ounce. This was above budget per ounces produced and better than budget for cost per ounce. During the quarter, we finished mining Stage 3 of the open pit, and we're currently acquiring a small amount of land for the next pushback of the pit. We expect mining at Stage 4 to begin in September. Mill feed for the remainder of the year will be a combination of underground ore and stockpile from the open pit, of which we have over 1 million tonnes in stockpile right now. Tanjianshan had an excellent quarter, producing 31,997 (sic) [31,977] ounces at $343 per ounce, beating the budget on both ounces and cost. Also during the quarter, the province of Qinghai implemented ecological compensation fee, which is assessed at 40 RMB per tonne milled. White Mountain produced 17,414 ounces at $518 an ounce. Ounces were a little less in budget for the quarter as a result of a lower head grade, which also impacted the cash cost. However, we're on budget for the first half of the year, and in July, the grade has been slightly higher than expected. At Vila Nova iron ore, we treated 153,000 tonnes of iron ore during quarter, and sold one shipment at one port. It was an unusually heavy rainy season this year, which affected mining and processing. However, we're on track for our 10 shipments for the year and are looking at 3 shipments in the third quarter. On the development side, Efemçukuru, during the quarter, we received a temporary operating permit, which has allowed us to begin underground ore production and commissioned the mill. Underground development has gone well. We now have access into the South Ore Shoot and Middle Ore Shoot with 3 slopes operational. Mill commissioning is ongoing. We started on lower grade material from the South Ore Shoot and been ramping up the feed grade. Currently, recovery is running in the mid- to high-80s. We processed a little less than 20,000 tonnes so far. The last few days have been running Middle Ore Shoot through with the head grade averaging over 12 grams per tonne. Development at Kisladag. During the quarter, we completed the Phase 3 upgrade, and continued work on the Phase 4 scoping study. I also began construction work on the Efemçukuru processing plant, which is scheduled to be completed late in Q4. Eastern Dragon, construction is proceeding on schedule and all of the major equipment has been delivered or is being held by the vendors. Three permits remained, the main one being the project permit approval, PPA, which is issued provincially, and we expect to receive this permit this quarter. At Tocantinzinho, we completed the pre-feasibility in Q2, and we'll now advance the project to feasibility study level at the EIA scheduled to be submitted this quarter. On the exploration, a very active last quarter and going into this quarter, we currently have 24 diamond drills turning, and we look to do an exploration update by mid-September. In Turkey, at the Kisladag, most of the drilling was for infrastructure and to test some conceptual targets. Seven holes completed there. At Efemçukuru, we have 2 drills going and we're adding a third. Initially, we're drilling a northwest extension of the main zone and the new drill will move on to the parallel Kokarpinar vein. Initial results for the Northwest extension are encouraging. We're also drilling a project called Sizma, [indiscernible] drilling early-stage targets, and we've had some encouragement there as well. On the China exploration, Jinfeng and regional, we're drilling targets at Jindu joint venture with one drill. We're currently service drilling at Jinfeng with 2 drills and underground drilling with 5 drills. White Mountain, we've got 3 drills operating at Xiaoshiren, which is a satellite deposit to the main White Mountain mine. We're also surface drilling at White Mountain with one drill and have 3 drills doing exploration work from underground. Tanjianshan, we have now started drilling the 323 Zone with 2 drills. That program is designed to bring in forward resources up in the measured and indicated, so we can do a clear reserve on the next year. We've also drilled 3 holes in the QLT deeps, assays are pending there, and we have one RC drill defining regional targets at Tanjianshan. In Brazil, we've got 2 drills turning at Tocantinzinho. These are most extensions to the main Tocantinzinho structure as well as geochem anomalies. And 2 drills have just started drilling at the Agua Branca project. Last but not least, in Nevada, we are looking at drilling Buffalo Canyon probably this quarter. With that, I'll turn it over to Fabiana.
Fabiana Chubbs: Thank you, Norm. Good morning. I will go through the financial statements, highlighting changes and significant outcomes. Commencing with the balance sheet, cash and cash equivalents as of June 30, 2011, we have a balance of $306 million compared to a year-end cash of $314 million. The net decrease in cash balance is the result of cash generation from operations and usage of cash for debt repayment, capital program and dividend payment. The inventory increase is mainly related to materials and supplies as a result of increase of operational needs requirements. There's also an increase in iron ore inventories as heavy rains during the quarter affected that transportation at Vila Nova. I would like to bring to your attention that inventory levels will increase during commissioning of the Efemçukuru mine, flotation concentrate [indiscernible] and shipped to Kisladag for further processing. Providing the deferred income tax increase, I want to refresh your memory that in the first quarters of 2011, there was an increase in this balance due to the reclamation of future benefit from accumulated tax losses available to offset Vila Nova taxable income. On the liability side, year-to-date, we paid $44.7 million of outstanding debt, which brings the debt balance to $130 million to June 30, 2011. As you may recall, this step is with Chinese banks, with our acquisition had a balance of $190 million needs to be repaid from cash flows generated by the Chinese mine. Moving on to the income statement. We have revenues of $251 million in the quarter. This is up $45 million from a year ago due to higher selling prices, partially offset by lower sales volumes. The same is valid for the year-on-year $81.6 million revenue increase. The income tax expense for the quarter is $36.8 million compared to $25 million in the same quarter of last year. This increase is due to the impact of the weakening Turkish lira on [indiscernible] deferred income taxes. This is a result of the IFRS accounting, and the company will have an increase in income tax volatility as a result of foreign exchange rates movements. On the cash flow, statement of cash flows, we generated cash flow from operating activities before changing in no working capital of $207 million as compared to $168 million in December 2010. This increase is a direct result from increasing operating profits. The 3 main uses of cash related to our capital program $125 million, the payment of debt, $44 million, and payment of dividend of $28 million. As indicated at the beginning of the remarks made by Paul, there will be another dividend payment in the third quarter of approximately $33 million. These are my comments on the financial statement. I will turn the call back to Paul.
Paul Wright: Thanks, Fabi, and thanks, Norm. Operator, we'll to open up for questions now, please.
Operator: [Operator Instructions] We do have a question from Dan Rollins with UBS Securities.
Dan Rollins - UBS Investment Bank: Paul, I was wondering if you might be able to provide a little bit of insight into Efemçukuru, just on how much gold you think you might produce from the gravity conce [gravity concentrate] in 2011?
Paul Wright: Look, the metallurgical test work supports an expectation that will ultimately will end up with 20% to 25% reporting to gravity. I mean, what we're experiencing right now is less than that for a variety of reasons. One is associated to the fact that the predominant ore sources coming from the South Ore Shoot with the metallurgy somewhat different from what we seem to be seeing greater reporting to the flotation concentrate. Secondly, we're operating with slightly lower grade going to the middle, as what's we've planned. And third, we're experiencing as all mills do, a certain amount of lock-up occurring of gold going in behind the liners and in every orifice that it can possibly capture gold. And preferentially, as you'd expect, the gold is going there is the gold that we'd typically report to gravity concentrate. So it's difficult for us to answer that question and the way you would like to receive it in terms of a number. You can put it into your model. Less than the 20% to 25% is what I would suggest.
Dan Rollins - UBS Investment Bank: Okay. And but the game plan is still to treat the gravity con at Efemcukuru is that going to be at...
Paul Wright: Absolutely, yes. We're set up there. We have the gold room. We have the refinery set up to reduce to the gold con into a doré on site. And we'll be doing that, it's just right now, it's difficult to pick what that percentage is going to be of the overall concentrate produced this year.
Norm Pitcher: But also just for the first time, he's trying to run the Middle Ore Shoot material through, which is coming in at a significantly higher grade. And as Paul said, does have different metallurgical characteristics. So it's just really difficult for us right now to put a number on that.
Dan Rollins - UBS Investment Bank: Okay. So just typically, the growing pains with start up, getting the study today and looking for where everything is, I guess you're saying, Paul, where all the gold is going or hiding or just fixing everything and then so basically nothing has really happening, you just pushed out production until May 2012.
Paul Wright: What's happened, as we've described, we've ended up, the permit that we required to build the Efemçukuru plant was linked to the permits which provide us with the opportunity to obviously, expand throughput at Kisladag. And that came a little bit later than we expected, it wasn't problematic in terms of the Kisladag expansion, but it was problematic in terms of our ability to start on construction. So now we're hedging our bets a little bit here because it's the race is on to get the treatment plant at Kisladag built and commissioned and up and running as quickly as possible. And we know it's going to be late in the year and inevitably, inevitably, we are going to end up with concentrate stockpile at Kisladag that we're not going to get through. We just don't know how much. So it's like a delayed concentrate shipment in the base metal mine. That's what you're -- we're probably going to be faced with at the end of the year.
Dan Rollins - UBS Investment Bank: And do you have -- is there excess capacity designed into the concentrate, the flotation concentrate facility at Kisladag where you basically go just to catch up?
Paul Wright: Yes, we'll catch up, but it's not -- we haven't put 100% of additional capacity or anything, that's will require the capture.
Dan Rollins - UBS Investment Bank: And then just moving on to Perama Hill, it looks like things are improving there I guess the Greeks figured out they need tax revenue. But so this fast-track process you even recommended for -- I guess, can you confirm that, you have to apply to get it in the fast-track process?
Paul Wright: Yes.
Dan Rollins - UBS Investment Bank: Okay. And then from there, if you got to go ahead, they fast-track all the permits?
Paul Wright: We're in to the process. And part of the, the first meaningful milestone really was the recommendation permit invested in Greece to the joint ministerial committee that this is a project that's worthy of consideration. And that's behind us. And where we are right now is in a process whereby I think it's 7 ministers will review and in our expectation has approved this project. All right? And that is the approval that we're expecting in August. And then we are into a process whereby over the next 4 or 5 months, the bureaucracy, in a timely manner, is expected to deliver the permits. So I mean, in terms of news flow, look for us by the end of August to render or to disclose obviously, the decision of the joint ministerial committee.
Operator: The next question is from Josh Wolfson with Stifel, Nicolaus.
Josh Wolfson - Stifel, Nicolaus & Co., Inc.: For Efemçukuru, are you still planning to report costs in the third quarter or is that going to be pushed back to 2012?
Norm Pitcher: What I've said is that we'll be declaring commercial production in the fourth quarter. That's our expectation. I mean, we may very well be producing, announcing some production in the third quarter coming from the gravity concentrate treatment at Efemçukuru, but it won't be necessarily be commercial unless the production ounce is produced.
Josh Wolfson - Stifel, Nicolaus & Co., Inc.: Okay. And with regards to Eastern Dragon spending, it seems to be tracking I guess below where we would have thought. What is sort of the expenditure plans for the second half of the year?
Norm Pitcher: Yes, it will start to pick up in the second half. Yes, I don't know the exact number in front of me for CapEx for the rest of the year.
Josh Wolfson - Stifel, Nicolaus & Co., Inc.: If you say so, spending for the first half of the year has been almost non-existent, is that in line with plan?
Norm Pitcher: Yes, pretty much.
Paul Wright: A lot of the spending was done frankly prior in terms of equipment that was ordered and purchased. If you go back in the history of this project, this is a project that was started by Sino Gold, construction was started before we acquired the project in December 2009, and then we stopped construction activities. But there's a lot procurement that was done.
Josh Wolfson - Stifel, Nicolaus & Co., Inc.: And then for the mining tax at Tanjianshan, this only applies for that one asset. This is a local thing?
Norm Pitcher: That's correct, it's a provincially-implemented tax.
Operator: The next question is from Bryan Christie with Desjardins Securities.
Brian Christie - Desjardins Securities Inc.: I'm wondering if you can give us some guidance for G&A. It looks like Q2 came in probably a little lower that where we had expected. And then, maybe a sense of the White Mountain grades on a go-forward for the balance of the year?
Fabiana Chubbs: I think on the G&A, if I may say the, the expectation, it is what we except for this quarter, you may recall next, last quarter was a bit higher because there was a special bonus paid.
Paul Wright: Yes, I mean, in the first quarter, Brian, you typically see a little bit higher because that's the quarter when you get the compensation associated with year-end bonuses and other compensation-related charges. I mean, so as Fabi says, I think what you've seen in the second quarter is probably what you'll see for the third and fourth quarters.
Brian Christie - Desjardins Securities Inc.: And then just White Mountain grid?
Norm Pitcher: We're looking around 4 grams. That's budget for the year. We did, Q1 was 5.7, Q2 was 3.7. So and we're back sort to of where on 4.5 right now in July. So when look we look forward for the rest of the year.
Operator: The next question is from Anita Soni with Credit Suisse.
Anita Soni - Crédit Suisse AG: So back on the tax on 40 RNB per tonne, was that Jinfeng or Tanjianshan?
Paul Wright: That's just Tanjianshan.
Anita Soni - Crédit Suisse AG: So that's for the royalties for hire?
Paul Wright: Yes.
Anita Soni - Crédit Suisse AG: The tax, overall tax rate, I guess, this is for Fabiana, would you -- can you give us a little bit of guidance of what you expect that to be for the rest of the year?
Fabiana Chubbs: Well the tax rate will continue to be effective rate in the range of the 30% probably, all in.
Anita Soni - Crédit Suisse AG: And then Norm, when you refer to 80% recovery rate, that was with respect to the amount that would come out through the gravity concentrate, right?
Norm Pitcher: No. That's talking total recovery. As is mid- to high 80s, so far. So that's sort of -- some of it is coming out in gravity, some of it is coming out in flotation concentrate. And we don't have the breakdown between the 2 right now.
Anita Soni - Crédit Suisse AG: Okay. So you can tell what's in the flotation concentrate?
Paul Wright: Sure. Yes.
Operator: [Operator Instructions] The next question is from David Haughton with BMO Capital Markets.
David Haughton - BMO Capital Markets Canada: Paul and Norm, it sounds like the Phase III expansion is running somewhat ahead of schedule. Norm, I think I heard you say it was 1,100 tonnes a month. Is that correct?
Norm Pitcher: Is it Kisladag we're talking about?
David Haughton - BMO Capital Markets Canada: Correct.
Norm Pitcher: We're currently running about 1.1 million tonnes to leach. So we are a little bit ahead. Some of that's run-of-mine though, it's not all going into the crusher, of course.
Paul Wright: David, we have seen -- I mean we are seeing a little bit of extra capacity in the expansion. I mean, the design expansion was 12.5% and we have been able to run periods in excess of that on an annualized basis. So for once, the engineers got it right.
David Haughton - BMO Capital Markets Canada: But also, Norm's answer also touched on another question that I had. You're talking about the potential for the Phase 4 expansion being up to 25 million per tonnes per annum, 5 million of that would be run-of-mine...
Norm Pitcher: No, no, sorry. 25 million tonnes through the crushing facility with up to 5 million tonnes and additional material that would be..
David Haughton - BMO Capital Markets Canada: I see, so in total, it could go to as much as 30 million tonnes?
Norm Pitcher: That's correct.
David Haughton - BMO Capital Markets Canada: And I presume with the lower grade and what we're currently seeing presented now, I will expect more in line with the reserve grade? Is that the kind of thing that you're thinking?
Norm Pitcher: That's correct. Yes.
Norm Pitcher: So we'd be thinking 30 million tonnes at 0.75 grams as an expectation?
Norm Pitcher: That's correct, with preferentially higher recoveries from higher grade and then applying basically the reserve cut-off grade to what would be going -- what would be going out of run-of-mine would be the difference between the reserve cut-off grade and the slightly higher cut-off grade which we'll use to apply to the material that will be going to the crushing circuit.
David Haughton - BMO Capital Markets Canada: I see, but differential recovery, is that the recovery out of the crushed material, et cetera?
Norm Pitcher: Yes. What we see, David, typically, in the pit, is very good fragmentation. We're generating a lot of fines in the pit through blasting, okay?
David Haughton - BMO Capital Markets Canada: And if you thought your permits in a timely fashion, when could you see this starting tup, would we be thinking 2013 or '14?
Norm Pitcher: Look at our disclosure. The disclosure we've made in our corporate presentation is as good as you're going to get until we come out with our guidance in a couple of weeks time.
David Haughton - BMO Capital Markets Canada: Back to White Mountain, a very good throughput for the quarter. Although at a much lower grade. Norm, I heard say that I expect full grants going forward. What should we think about throughput? Will it be as good as what we saw in the June quarter or more of a kind of normalized level, somewhat lower than that?
Norm Pitcher: Yes, I mean, I'd say, maybe a little bit lower than that. I think budget is 700,000 tonnes for the year, and I don't think we're going to have an issue hitting that.
Operator: We'll proceed with the next question from Barry Cooper with CIBC.
Barry Cooper - CIBC World Markets Inc.: Anyways, just wondering if you can flush through how was your contract at Efemçukuru working out there, Paul, because I understand the contractor there, correct me if I'm wrong, really didn't have any mining experience -- although they did have underground experience. So how are they doing with respect to dilution and various things like that, that you've anticipated?
Paul Wright: Well, I'll make a quick couple of comments then Norm can pick up and flush it out. But I think the experience has been very positive. I mean he's essentially a tunneling contractor that's been made into a mining contractor, and I think we have some fairly demanding management on site who have been very pleased with his performance. I mean, right now, his scope, his remaining scope of work is fairly minimal, and we're moving in our own crews. But I think it's been very high.
Norm Pitcher: It's a little bit of slow start up for the contract. As you say, it was more of a not necessarily a mining contractor, more of a tunneling contractor. But since the last 6 months or so, they've done very well. They've done a very good job. In terms of dilution, with just 3 scopes in the cycle right now, a little early to say how we're doing, give us a little bit more time on that. But in general, ground conditions are pretty much as expected, no big issues there.
Barry Cooper - CIBC World Markets Inc.: So do I -- am I to understand your pacing in [indiscernible] going to go to mining there now? And then any -- I realized early stage there again as well, but any idea on the reconciliation of grade? Is it more or less what you expected?
Paul Wright: Yes. I think the reconciliation has been fine so far. No big surprises. I mean we meant to run some lower grade material through the mill to start with, obviously. And yes, but compared to sort of what we're mining, compared to the model, very early days, but it's been pretty good so far.
Operator: The next question is from Steve Butler from Canaccord Genuity.
Steven Butler - Canaccord Genuity: Paul, so implicit in your 2011 operating guidance of 700,000 to 725,000, I assume there is at least a Q4 impact in there for Efemçukuru, and is there also any commercial production in that estimate or production estimate in there for Eastern Dragon?
Paul Wright: There's, I mean, commercial production for Eastern Dragon will not be until Q1. The original guidance for Eastern Dragon, I think we had about 20,000 ounces. So whether it's 0 thousand ounces, 15,000 ounces or 20,000 ounces, we'll have to wait frankly until much later in the year before we can tell you what that's going to be. Our expectation is yes, of course, there will be some production contribution from Efemçukuru, how much remains to be seen. You'll have to bear with us as we get further in the year. I mean we've ended up with the 4 operating mines, all working, continuing to work in accordance with plan, and we've got 2 mines that really, for different reasons, are starting up very late in the year. And normally at this time, Steve, as you know, we would midyear, we would peg our guidance, fix the number in terms of operating costs and production levels, but we've ended up with 2 new mines starting up right at the end of the year, and therefore, we have to keep a bracket in place until we get closer to the end of the year.
Steven Butler - Canaccord Genuity: You said construction on the concentrate treatment plant lag mid-June. But realistically, how many months do you -- is it at least a 4-month or 5-month period of time and that fairly modest although still...
Paul Wright: Yes, it's a tiny little plant. Rest assured, we had, everything was sitting, everything is procured, all the engineering done. Everything is there. The lines with the backhoes, we're ready to start digging within an hour of the permit being granted. And we're working now to do everything we can in terms of running the construction schedule 24 hours a day, 7 days a week. We've got review meetings again next week to see what we can do to squeeze out every additional week. So it's very much work in progress. Rest assured, we're going to do everything we can to get as much of this concentrate treated this year. But we're still working at determining exactly how many weeks we can realistically plan on for the year.
Steven Butler - Canaccord Genuity: Lastly, the 25 million tonnes plus 5 million tonnes per annum for the Kisladag Phase 4, is that referred to in the MD&A here or just implied based on the corporate presentations?
Norm Pitcher: It's what I just told you. It's not in the MDA. That's the starter piece of information. So what's your appetite until?
Steven Butler - Canaccord Genuity: I've already been with it.
Operator: The next question is from Anita Soni with Crédit Suisse.
Anita Soni - Crédit Suisse AG: Norm, just a follow-up with respect to Kisladag. The grades there, are they going to come -- I think the bunch of metals are about 1.07 and you're running a little bit behind that for the year. Are you going to catch up or are we going to stay at the levels that we're at?
Paul Wright: There was a little, I mean, last quarter was a little bit lower. Part of that was budget for the quarter was based on a little bit older model, and we had some new drilling in there. So it's not, generally, the model at Kisladag is predicted extremely well. Yes, so I'd expect it come back up a little bit in the next couple of quarters.
Operator: We do have a question from Erwin Austro, who is a private investor.
Unknown Speaker: Paul, I've noticed that the price of gold, which is now sitting in the $630 range seems to be somewhat independent of the price of our stock. Can you comment about why we seem to lag the price of gold even though that's our main product?
Paul Wright: I think we're no different from fortunately most of the gold equities right now. So somewhat of a divergent between the gold prices [indiscernible] Caught in that. I would say more recently, we're -- the equity performance has sort of picked up a little bit. I mean I don't think it's a unique characteristic to ourselves. It's just you've had these divergence and between the equities and gold. What we have to do is obviously make, continue to work hard to ensure that there is a recognition that in the case of Eldorado Gold, the investors have an option to perhaps a superior product in terms of growth, in terms of margins, profitability and a pure gold producer. That's part of what I just I get paid to do. But unfortunately, there has been this divergence and we were not immune to that.
Operator: The next question is from Terry Kraft's [ph] from Kraft Enterprises [ph].
Unknown Analyst - : I have a few. With the new rate regime, and I'm assuming it was a change in regime in Greece, are you getting a fast-track? Are they better now or are we still stumbling like it was sometimes in the past?
Paul Wright: Two aspects or 2 changes that have occurred in Greece for the last 6 months, which I think are positive for ourselves, positive for Greece, and one includes a change in ministers within the government. The previous environmental minister was replaced by the Minister of Finance, who having met with him myself in the last week or so, I would say he's extremely pragmatic, very much understands the relevance of the development of the mineral sector, and I think that's very positive for us in terms of process. The other, which is very specific to us, is the development of the fast-track process, which has been legislated, and we've qualified as one of the first entries into that process. And there's a strong commitment to ensure that, that process works at the way it's meant to, and in a timely manner, ensures that projects, such as ourselves, moves through unencumbered through the permitting process, and we come out the other end with the permits and licenses appropriate, and so we that we can start, element of a timely manner. So I think there are some very positive changes.
Unknown Analyst - : It does seem dire straight to their end that they would fast-track anything that would make them money for their country or for whatever.
Paul Wright: One would think so, yes.
Unknown Analyst - : I have a question about [indiscernible] These names, how far is that from the Kisladag mine or Kisladag operation?
Paul Wright: It's but a 3-hour drive, so 180, 180, 200k I think.
Unknown Analyst - : I mean are you hauling all your process back to there?
Paul Wright: No, what we will haul is a flotation concentrate, so we'll be hauling about 100 tonnes of concentrate a day.
Unknown Analyst - : A question about Vila Nova, I know that there's about a $350 million to $400 million infrastructure startup there. Are there any basis of recovery on that and what is the life of production on it? I guess, it's a strip mine, isn't it?
Paul Wright: Vila Nova is a very small iron ore mine, which is being built in the capital expenditures, we've already paid for was about $45 million. So I'm not sure. It's an operating iron ore mine. We presently expect to produce about 500 million tonnes of iron ore this year thereabouts, the sort of the nameplate capacity for the plant is probably right 850,000 or 900,000 tonnes a year, and our expectation is or over the next couple of years, we'll continue to increase production towards that level. Our present constraint is not the plant capacity or the mining capacity. It more relates to a shared railway facility and our ability to access additional capacity on that railway line.
Unknown Analyst - : I'm just curious. But did I read that figure right or was that a misprint, the 400 million in structure.
Paul Wright: No. That's a wrong number. I'm not quite sure where.
Unknown Analyst - : I read that from. So I was curious about why there's an awful lot of money for building loads or whatever rail or whatever you are going to do.
Paul Wright: I think maybe you're thinking Tocantinzinho to in Brazil, which is a gold project in Brazil.
Unknown Analyst - : Maybe that was it.
Paul Wright: Yes. That's a fairly larger gold. That one is not gold. That's a prefeasibility.
Unknown Analyst - : One other question, I'm assuming and there is a recovery cost, do you have any kind of life line or life production on that gold mine then?
Paul Wright: Well, that mine, as Norm described, we've completed pre-feasibility engineering based on a 2 million ounce reserve, and I think our production rate, which was around 160,000 ounces a year which would have implied a 10-year, 10 to 12-year mine life, again, we're refining that engineering to feasibility level engineering. We're continuing to exploration, and so that may change, and look for probably first quarter of next year to sort of lay out what we see as being the plan for development.
Unknown Analyst - : And then one and last question. How things are doing over there in China overall as far as labor, permitting, and local and the PRC Government entities? Are they perceptive or receptive to everything you're doing, more or less or?
Paul Wright: I would say more or less, yes. We started in China with Tanjianshan, and I think we've been quite successful with that operation, and then we acquired Sino Gold, a little more than a year ago. And I think we've pretty turned those operations around and they're operating now according to plan. I mean it's a different place to work. That's for sure. And you just have to take the time to understand the permitting and legal structure, but once you do, you can operate within it. I think the Chinese government isn't interested in having a huge influx of foreign investment in their resource sector, but I think to a certain extent, we're sort of the poster child. So they can point to us and say, look at, there's Eldorado. We do a lot of foreign investment in the resource sector. So I think we've been fairly successful, and part of that is sort of flying under the radar to a certain extent as well.
Unknown Analyst - : I kind of wondered about that because you seem like, to me, you seem that you have a large footprint there, but I don't have really, haven't made comparisons to other miners, many other miners or larger companies.
Paul Wright: We're, far and away, the largest foreign gold producer in China. But having said that, in terms of annual production in China, we represent less than 3% of annual production.
Unknown Analyst - : Well, the Chinese are doing their own thing.
Paul Wright: Sure. There's a number of -- there's a reason that they're obviously fairly large. And from a Chinese government perspective, I mean, the requirement of all gold producers in China is that all gold is sold within China.
Unknown Analyst - : I'm sure they want their piece of the action, for sure. That doesn't surprise me at all. I'm glad you are one of the largest miners over there, and I wish you well. I know they're making investments in Canada too. So I'm kind of watching. Let's try and get that price back up by another dollar a share. So I'd like to see that.
Paul Wright: You suggested already.
Unknown Analyst - : At least about right now, I mean. What's going down here, that's dealing us off in the stakes. It ought to be back up there.
Operator: There are no further questions registered at this time. I would now like to turn the meeting back over to Mr. Wright.
Paul Wright: Well, again, thank you very much, operator. And thank you everybody who's called in and look forward to talking to you at our next quarterly call and meeting a number of you on our analyst trip and investor trip in October. Thanks again.
Operator: Thank you. The conference has ended. Please disconnect your lines at this time, and we thank you for your participation.